Operator: Greetings and welcome to the Alexco Resource Corp 2012 Fourth Quarter and Year-End Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder this conference is being recorded. It is now my pleasure to introduce your host, Ms. Vicki Veltkamp, Vice President of Investor Relations for Alexco Resource Corp. Thank you. Ms. Veltkamp, you may begin.
Vicki Veltkamp: Good morning. Today is Thursday March 28, 2013 and I’d like to welcome you to Alexco Resource’s fourth quarter and year-end conference call for 2012. This conference call is being webcast live and it can be accessed at the Company’s website at www.alexcoresource.com. You may sign up on the Alexco website to receive future news releases and other event updates as they’re issued. You’ll also find Alexco’s news release with the quarterly and year-end production and financial results there. For a limited time, a recording of this conference call will be available by telephone as well and the instructions on accessing that are also on yesterday’s news release. Giving presentation on today’s call will be Clynt Nauman, President and Chief Executive Officer of Alexco Resource; and David Whittle, Alexco’s Chief Financial Officer. And we also have with us Brad Thrall, Alexco’s Chief Operating Officer, who will participating in the question-and-answer session little later. But before we get started today, I need to remind you that some statements made by the management team may contain forward-looking information. Our business involves a number of risks that could cause results to differ from projections and investors are urged to consider those disclosures and discussions pertaining to risks that can be found in Alexco’s SEDAR filings. It should also be noted that past performance discussed in this conference call is not indicative of future results. So now, I’d like to turn the call over to Alexco’s President and Chief Executive Officer, Clynt Nauman.
Clynt Nauman: Thank you, Vicki. Good morning everybody. Thank you for joining us today. I'm going to make some general remarks as per normal relative to 2012 and then David, our CFO, will give you some particulars on the financial results from the – from 2012 and the fourth quarter. Then we will take your questions, after talk a little bit more about our operations, development, exploration, et cetera. As you know, we released our year-end results after market close yesterday with earnings of CAD$0.06 per share and revenue of about CAD$85 million, other than general improvement that have come with increasing underground operations, explorations at Keno Hill was refracted and now throughput mine cost recoveries et cetera. I think that when I view the longer term growth opportunity at Alexco, there has to be no greater highlight in our exploration success at Keno Hill in 2012. In fact from the beginning of 2012 to now, we have increased our silver resource at Keno Hill by more than 80% with 51 million ounces of silver now on the indicated category, 8 million ounces in the inferred category and a further 5 million ounces – of silver in the historic category. Most exciting discovery to-date for sure is the Flame & Moth deposit, and in fact in my view anything that we have accomplished so far in the Keno Hill district in terms of exploration and development [pails] in comparison to the potential that we have with this deposit. But I will talk a little bit more about that later. At our Bellekeno operation, that operation helped us achieve positive earnings, generated about 15 million at the operating level and supported 120 jobs. But as you all know as our plan start to mature at Keno Hill, we now have a much larger vision in mind. We invested a lot of money in 2012 on exploration and development, but we’re also keeping our eye on the bigger goal of finding and moving towards production, one or a series of deposits that will let us look down the road as a company for the next 5 to 10 years. You’ve seen our cash balance reflect those expenditures during 2012 as we pursue our interim goal of being more than a single mine company. Of course from the margin perspective, we’re also seeing impact from a 9% decrease in the recognized price of silver compared to 2011 as well as the 12% rollback in lead and 8% decrease in zinc prices between 2011-2012. Our unrestricted cash on hand at the end of the year was about CAD$23 million. You should remember that Alexco is in a unique position as we grow our production side. We are in a premier jurisdiction as you know we’re able to predictably move projects to production. So, in some respect we’re basically a development company with the benefit of production and income with a project pipeline that is continuing to strengthen and lengthen. So although we don’t separate them as such in our financial businesses, we feel that we’re running three sort of separate small businesses here, an exploration company, a mining company, and of course our environmental company. One other item of note, in 2012 of course was the final disposition of our Brewery Creek property, resulting a pre-tax gain of CAD$6.3 million, but we also continue to hold a royalty against future production from that company. At our mining operations, we are being successful in increasing our mill throughput. We’ve seen a general uptick in that recoveries and we’re waiting to accept fee from Onek and Lucky Queen later in 2013. In line with this, we’re carefully reviewing the capacity and efficiency of our grinding circuit in the mill and as we move beyond 300 tons per day, we may consider an expansion of that circuit with a small regrind mill later in 2013. In 2012, we’ve also significantly transitioned a large part of our Bellekeno mines and long-hole mining methods. This allows us to mine more efficiently in terms of equipment and manpower, but also this bulkier mining methods require more careful sequencing of overall mine activity including around the periphery of the main ore bodies especially the Southwest zone. The downside is that we’re encountering lower silver grades in the peripheral areas where Q1, 2013 we’re just being focused. Despite the lower tonnages that we’re seeing in the first quarter, we remain on track to reach our target of overall production growth in 2013 compared to 2012. Our cash cost per ounce of silver for 2012 averaged CAD$11.89. That was up CAD$1.72 over 2011. The fourth quarter cash cost per ounce was CAD$11.13, down significantly from the same period a year-ago, but an increase of about CAD$0.60 from the previous quarter. I recall telling you last time on this conference call that the small volume nature, high fixed cost nature of Bellekeno will naturally lead to fluctuations quarter-by-quarter and cash costs per ounce based on three or four things. And they would be changes in the way the zinc byproduct prices; secondly increases or decreases in ore grades depending upon what part of the mine we’re happened to be in. Thirdly, the mining methods we used during the quarter and hopefully the timing of ore shipments and payments. Its clear that – I think that its fair to say that in 2012 we had negative impacts from three out of those four factors. Now byproduct prices were down for the year. Treatment and transportation costs were up and our ore grade decreased by about 9%, but still fits at around 760 grams per ton silver as we sequenced through the Southwest ore body. Those first two factors allow and accounted for about CAD$3 increase in the cash costs per ounce. Fortunately we’re able to offset some of those costs and with about a CAD$1.40 per ounce reduction in underground cost related to increased mining efficiency. Brad and I continue to spend a lot of time at the site and in the Keno Hill Silver District and we’re very much hands on with production, development and exploration program decisions. We’ve come through a cold winter, very cold winter actually in good shape at the site and we’re constantly improving our day-to-day practices. All of this work led to an approximate 10% increase in silver production in 2012 over 2011 and an extremely successful exploration program, and my hope is that we can continue this trend in 2013. Now I will have our CFO, David Whittle, to give you more detail on the financial results and then I will come back and talk a little more in detail about some of the operations, development and exploration activity.
David Whittle: Thanks, Clynt. To confirm, this financial report is for Alexco’s full fiscal year ended December 31, 2012. As we go through the presentation, bear in mind that we do report in Canadian dollars, for all dollar amounts we talk about will be Canadian unless otherwise noted. And any time we talk tons, we’re talking metric tons. For the 2012 fiscal year, we saw overall consolidated revenue of CAD$84.7 million, income before taxes of CAD$8.0 million and net earnings of CAD$3.4 million or CAD$0.06 per share. Last year as you may recall, we changed our fiscal yearend, so our comparative period is only six months in length. But in that comparative six months period, we had revenues of CAD$42.5 million, income before taxes of CAD$4.5 million and net earnings of CAD$1.7 million or CAD$0.03 per share. Our total revenue in this year from Bellekeno mining operations were CAD$76.7 million compared to CAD$38.6 million in the preceding six-month period. These run rates are pretty similar. Average silver prices in the periods were pretty much the same. Base metal prices were little lower, sales volumes of payable metals were at a little higher and treatment and refining charges which are netted against revenues were also increased. Gross profit at Bellekeno in the year was CAD$17.9 million compared to CAD$10.1 million in the comparative six-month period. Gross margin in the year tracked a little lower than that comparative period. While per unit cash mining costs were lower, byproduct credits were lower as well due to base metal prices and non-cash depletion charges were higher, reflecting the impact of ongoing capitalization of underground development as Bellekeno is now completed its second full-year of mine life. Cash cost and production for 2012 were CAD$11.89 per ounce of silver, higher than the CAD$10.17 for the full calendar year of 2011, but lower than the CAD$12.37 that we saw in the immediately preceding six months comparative period. Meaningful per ounce gains in mining and milling costs where achieved in the year of 2012, partly reflecting the economies of scale benefits of our increased mill throughput in 2012, and also the unit cost benefits from long-hole stopping which was initiated in earnest in the second half of 2012. Those gains were offset, however, by reduced base metal credits due to the lower average lead and zinc prices as well as higher smelter treatment and refining charges. In the fourth quarter of 2012, we recorded total revenues of CAD$20.3 million and income before taxes of CAD$737,000, compared well with identical revenue in the fourth quarter of calendar 2011 of CAD$20.3 million and income before taxes of CAD$654,000. Bellekeno mining revenues this Q4 were CAD$18.9 million for a gross profit of CAD$3.0 million, compared to CAD$17.8 million of revenues in the comparative quarter and a gross profit of CAD$3.2 million. Cash cost per ounce in the fourth quarter were CAD$11.13, down from CAD$13.66 in Q4 2011, with the decreased due to significantly lower mining cost both per ounce and per ton slightly offset by higher treatment and refining. The Alexco Environmental Group or AEG has had a very good 2012. Revenues in the year totaled CAD$8.0 million compared to CAD$3.9 million in the six months comparative period. While our growth profit for 2012 was CAD$0.9 million compared to just CAD$279,000 in the comparative period. Just about 25% of AEG’s business in 2012 was connected with remediation work we’re doing in Keno Hill, under our long-term arrangement with the Federal Government of Canada, compared to about 45% last year, underscoring the growth in our private sector client base. Most of the work we’ve been doing at Keno Hill over the past few years is in connection with planning the long-term remediation measures and under our deal with government; we are doing that planning work at roughly breakeven rates. Though once the planning is completed and actual remediation begins, we will be doing that work at normal profit rates. Obviously, with AEG still recording an overall gross margin of 36% for the year, we see quite strong margins through our private sector business, which reflects the strong value proposition that AEG offers its clients in providing them with remediation solutions. The other story of note for the year was the sale of our remaining interest in the Brewery Creek gold exploration property to Golden Predator Corp, today now known as Americas Bullion Royalty Corp. On closing, we received CAD$3.2 million in cash plus 7.5 million in common shares of Golden Predator, warrants to acquire another 3.75 million shares over the next two years with the strike price of CAD$1.15. And as smelter returns royalty on gold production from Brewery of between 2% and 2.75%. As a result of this transaction, we recorded a pre-tax gain of CAD$6.3 million. Alexco’s net working capital at December 31, 2012 totaled CAD$25.7 million, including a cash position of CAD$23.1 million, compared to a cash position of CAD$41.7 million at December 31, 2011. The decrease in net working capital primarily reflects new net cash inflows from operations and from material at Brewery Creek offset by about CAD$12 million in expenditures on Keno Hills District exploration activity during the year. About a CAD$11 million in rehab and access development at the historical Lucky Queen and Onek mines, around CAD$4.5 million in capitalized Bellekeno mine development class, add a little over CAD$3 million in plant and equipment purchases. We also placed CAD$3.8 million into restricted cash during the year as the back stuff through a cost over run guarantee that we provided on a large AEG remediation project. I’ll now turn the call back to Clynt.
Clynt Nauman: Thanks, David. If you have any questions on the financial results, we’ll take those at the end of the call here. Now in terms of the Keno Hill operations, we saw Bellekeno produce over 22,000 tons of ore in the fourth quarter with mill throughput exceeding that by about 4,000 tons. For the total year 2012, more than 86,000 tons of ore remained with 96,000 tons processed. The mill is now consistently exceeding the capacity of the Bellekeno mine. We’ve seen average – the average mill throughput for 2012 increased 17% over 2011 to 260 tons per day, in the fourth quarter alone we had average mill throughput of about 291 tons per day. At Bellekeno where presently, we’re anticipating sequencing into high grade areas of the ore deposit in the second and third quarters. And we expect to bring on stream some new production from the previously un-mined East zone. Right now we’re mining lower grade stopes which are peripheral to the Southwest zone and as we say, that will primarily impact the first quarter. Over the year we expect to balance that out as our long-hole sequences draw back into the central portion of the ore body. Mining costs decreased during 2012, as we implemented increasing amounts of long-hole stoping. I think it’s noteworthy that this is the first time this mining message has been used in the district and its turning out to be quite successful in terms of producing tonnage more efficiently. You should remember that this is a district were a couple of years ago, there were a lot of naysayers suspicious that we would be able to mine successfully and what traditionally has been know as very bad ground. To the contrary, well there we run a very robust and quite expensive underground management program, our transition to long-hole mining has been very successful and we will have a material impact on our plans elsewhere as we go forward in the district. In the same wane our confidence is such that we have recently exercised our option to selectively purchase the mining fleet from the underground contractor and we’re supplementing that fleet with new units better suited for long-hole application. This is important because it’s the first step in moving to self mining, which will further improve our cost structure. Bellekeno’s future looks promising with our current mine plan at Bellekeno extend through the next two years, successful exploration in 2012 had indicated good potent to replace some of the resource already mined and to extend the mine plan. And we’re getting closer to putting out an updated recalculation of this resource. In terms of the development projects their expectation is to be producing from three mines in 2013, Bellekeno, Onek and Lucky Queen. We’re simply ready to begin production at our Onek once we receive our water license. There was a Water Board hearing as part of that process that went very well at the end of February. And we’re expecting issuance of the license soon and then we can begin mining and processing of ore from Onek. At Lucky Queen we’re looking at production probably sometime after summer. We’re working on a new waste management plan that will be more economic to prevent re-handling of waste materials from Lucky Queen. This sequencing of production also allows us to fully incorporate production from Onek first, and then bring on Lucky Queen. So we’re moving on both of those fronts. In terms of exploration, the exploration of course in 2012 at Keno Hill was a resounding success. In my view it certainly has to be one of the highlights of 2012. We ended up drilling about 26,000 meters from surface nearly half of that was at Flame & Moth. We now have 23 million ounces of indicated silver resource at Flame & Moth. And to put that in perspective this deposit is already more than three times larger than any other underground resource on our bulk Keno Hill, plus it remains open. This year we’ll be concentration our drilling efforts in Flame & Moth on both [in already private deposit] with the uptick portions of the deposit remain to be drilled and the down dip, down plunge part of the deposit to the Southwest. At the same time as we speak here, wherein authorities are conceptually exploring development alternatives for this deposit. I can talk about this new deposit at Flame & Moth all-day, but we should move on, surprised to say I’m pretty excited about what we’re seeing here. That said; our exploration program this year was likely to be a little smaller in terms of drilling new targets. We have plenty of resource indicated at Flame & Moth to indicate what its impact will be on the future of the district and we have some very high grade silver distinctions at Bermingham which need to be followed up. But perhaps more important than that, some ideas that we now have to reinitiate service exploration at Bellekeno where it's clear that the geologic boundaries we originally placed on this deposit had been super seated with both their underground exploration, drilling and their actual production experience. I would also highlight that we have an awful lot of data we’ve collected in 2011, 2012 and that needs to be properly evaluated and prioritized for future targeting opportunities. No question in my mind that given our maturing understanding of the mineralization in this district, we’re well positioned to make additional new discoveries in the district as a whole. Now in 2012, we’re going to try and give our small exploration team some time to digest all of what's been done in the last couple of years, in the mean time and since I mentioned we’ll be drilling Flame & Moth, peripheral to Flame & Moth and Bellekeno and a few other target areas in 2013. And then finally here just a word about the Alexco Environmental Group before we go to the question and answer period. They had a very good year and they continue to grow. As David, mentioned they have a much greater diversity of private clients. That group provided us with about CAD$8 million in revenue with a 36% gross margin in 2012, a very healthy margin for this business. We now have environment group offices in Denver, Vancouver, Toronto and of course Whitehorse.
Vicki Veltkamp: Thank you, Clynt and David. Operator, if you could now give the instructions for the question-and-answer period.
Operator: Certainly. (Operator Instructions) Our first question is from Nicholas Campbell of Canaccord Genuity. Please go ahead. Mr. Campbell your line is live.
Nicholas Campbell: Sorry guys, I was on mute there. Good morning. I was just wondering if you could give us a bit of some guidance in terms of what you’re seeing in cash costs per ton both on the mining side and processing side, and I know that that’s going to change in Q1 with your lower throughput, but just to give us a general guidance on where those costs are turning?
David Whittle: Sure Nick, its Dave here. For mining side we ran around CAD$211 a ton during full-year 2012, milling side about CAD$109. Those costs are certainly -- they’re coming down -- they came down through the year as a result of the long-hole on the mining side in particular. Once, as we get the average mill throughput increasing up over CAD$250 there is -- we’re seeing improvement on a per ton basis there as well. But 85% of our costs frankly are fixed within the Bellekeno mine complex, and throughput is therefore a strong driver on per ton cost efficiencies.
Nicholas Campbell: Okay. And so what -- can you give us some idea about what sort of grades you’re looking at in Q1?
Clynt Nauman: I think there are grades in the, well Q1 surpassed the cost, but they’re running in the 600 to 650 gram range something like that.
Nicholas Campbell: Okay. And with the permit delays I guess, getting the permits for Onek and Lucky Queen. How much of your capital has been delayed in terms of ramping up production there? What should we see in terms of capitalized expenditures you can see in the first half of the year versus the second half?
Clynt Nauman: Well lets take it one at a time, Onek which will be in production in the second quarter has about – it's about CAD$1 million, I guess would be a good number at Onek. And for Lucky Queen, which would be in the later second quarter going into the third quarter. I think that number is right around CAD$2 million to CAD$2.5 million, actually maybe a little less than that, but around CAD$2 million.
Nicholas Campbell: And how much other capital expenditures you’re making in terms to capitalize exploration with the same capital?
Clynt Nauman: We’re looking at about CAD$5 million – CAD$5 million to CAD$5.5 million of capital this year that, that includes property plan on equipment and also it includes about CAD$1.5 million that we’re investing in terms of internally scarping, metallurgical work, hydrogeology et cetera, et cetera in and around the Flame & Moth deposit. So there’s a lot of focus there.
Nicholas Campbell: Okay. And when do you think we could actually get – when are we – when are you going to be putting out a mine test for Onek and Lucky Queen so we can get an idea in terms of what – how much tonnage or grade we’ll see out of those two mines.
Clynt Nauman: We’re hoping it will be late April, early May, that type of timeframe. So we had to get it, so we’re still clearing through the engineers, wrapping up the 43-101. But the expectations are by – certainly sometime in Q2 here, hopefully in the first half.
Nicholas Campbell: Okay. And how about for Flame & Moth, when are we going to get an idea of what that you guys are – where are we going to get a little bit of insight as to what you guys are going to do with that?
Clynt Nauman: That’s a good question, and my response is that we’re just internally looking at the present time, but we do have third-party engineers engaged. So we actually haven’t turned our attention to what we might do beyond the internal scarping and that deposit brings so many opportunities within in terms of future build out of the district that we want to make sure that we sort of understand the breadth of those opportunities before we engage on a PEA type of a process. So, I would imagine that some time during the second quarter we will internally be having that discussion about what the next step for public consumption would be on that particular deposit. But like I say, we want to look at it internally, at only options are available to us there which range quite frankly all the way from (indiscernible) to underground alternatives.
Nicholas Campbell: Okay. I think that’s all the questions that I have. Thanks a lot guys.
David Whittle: Thank you, Nick.
Clynt Nauman: Thanks.
Operator: Thank you. The next question is from Joseph Reagor of Global Hunter Securities. Please go ahead.
Joseph Reagor: Hi, guys, just a quick question on guidance. You’re guided to the 1.9 million, 2.1 million ounces, is that a 100% from Bellekeno?
Clynt Nauman: Yeah, that’s correct.
Joseph Reagor: And is there any guidance as to the total number of ounces you’re going to get from the other two (indiscernible) mines?
Clynt Nauman: No. We’re not going to provide guidance on those other two deposits until we firmly have all the licenses and authorizations in place and they’re in production.
Joseph Reagor: Okay and then longer term you still have Silver King as a potential third satellite deposit. What's the timeframe on that at this point?
Clynt Nauman: I mean that’s a good question and it sort of goes to the question that Nick was sort of parking at here previously. I mean that the pipeline really that you’re asking about here is Bellekeno, obviously Onek, Lucky Queen that we’ve been talking about sitting behind that we have Bermingham, that Silver King as noticed we still got the Tailing’s Project out there and those all need to be viewed in context with this new Flame & Moth discovery. So, I mean my plan is to – our plan is to try and put together a meaningful pipeline of opportunities here. Put them into some kind of a template where we can look at return on capital on a consolidated basis and then line them up so that we can and you can look down the road somewhere between 5 and 10 years, I mean that will be a huge change at Keno Hill and we’re very focused on trying to get to that point. So, I can’t specifically answer your question in terms of Silver King, but amongst the mixture of Bellekeno, Onek, Lucky Queen, Bermingham and Flame & Moth and Silver King it will fall in a natural place depending upon its return on capital.
Joseph Reagor: Okay, that’s fine. And then looking at the fourth quarter you guys had 760 grand as your grade, I know going into Q1 grade is supposed to be lower, but next year things are going to be higher. What should we look for as a way to get back to overall corporate level profitability for the Company?
Clynt Nauman: Well, I mean the clear answer to that question is throughput. I mean, we are still one of the highest grade silver producers in the world and -- but no matter how you -- no matter which grade you cut it, we are a high fixed cost operation, we really observe that as David, mentioned 75%, 80% of our costs are fixed there is all about throughput, and so what we need to do is lift that throughput in the mill to 400 tons per day.
Joseph Reagor: All right. Thank you.
Operator: Thank you. (Operator Instructions) The next question is from Christos Doulis of Stonecap Securities. Please go ahead.
Christos Doulis: Hi, guys I just noticed that the exploration budget for this year is substantially reduced to (indiscernible) meters or its between 1,500. Is this the function of the cash concerns or what is driving the reduction of your exploration expenditures this year?
Clynt Nauman: I think that – Christos thanks for the question. I think we made the decision actually to reduce what we were doing this year as early as the middle of last year. We had simply collected a huge amount of information. We’re putting silver on the books for less than a buck an ounce, and we wanted to focus more of our attention in 2013 on trying to understand what may or may not be possible at Flame & Moth. So, it was a general – that we were generally agreed that early on that we would rollback what we were doing in 2013 give the geologist more time to digest and evaluate all of this information we’ve been collecting in the last couple of years. Don’t forget that Flame & Moth obviously is a blind discovery as was Bermingham. There’ll be others out there, and part of what we’re going to be doing this year is boiling down all of that information we’ve collected, identifying new targets and then launching off in 2014 to start looking at them.
Christos Doulis: Okay. Thanks guys.
Operator: Thank you. We have no further questions in queue at this time. I would like to pull back over to Ms. Veltkamp for any additional remarks.
Vicki Veltkamp: Thank you, operator. I think Clynt has a couple of wrap-up remarks here before we close the call.
Clynt Nauman: Thanks, Vicki. So, I just want to make the point that precious metal companies have had a tough year and in terms of share price in 2012, 2013 and we’ve been tracking alongside up years in that arena unfortunately. It's painful for all of us when the price falls and as a large shareholder myself our interests are tightly aligned. While we can’t control what the market does to our share price we can apply ourselves consciously to making wise use of our cash, lowering our costs and improving our efficiencies. Long-term our vision is to put our very prolific land position back on the map as one of the richest silver producing districts in the world. What I’m most excited about is getting people to appreciate the scale of the Keno Hill property and the huge exploration and now development upsize we have here, and that’s where we focus our daily activity. I want to thank you for your time and interest today. We appreciate your support and with that, I’ll turn it back to Vicki to close out the call for the day.
Vicki Veltkamp: Thank you for listening to the March 28, 2013 Alexco Resource Conference Call. We encourage investors to visit Alexco’s website for further information, and again that address is www.alexcoresource.com. And if you have further questions you can call 604-633-4888 or email us at info@alexcoresource.com and this concludes today’s call. Thank you for joining us and have a good day.
Operator: Thank you. Ladies and gentlemen this does conclude today’s teleconference. You may disconnect your lines at this time and thank you for your participation.